Operator: Greetings and welcome to the Electrovaya Quarter Four and Year End 2020 Financial Results and Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Executive Vice President and CFO, Richard Halka. Thank you. You may begin.
Richard Halka: Thank you, operator. Good morning everyone and thank you for joining us on today's conference call to discuss Electrovaya’s fiscal 2020 fourth quarter and year-end financial results. Today's call is being hosted by Dr. Sankar Das Gupta CEO of Electrovaya and myself Richard Halakha Executive Vice President and CFO. On November 30, 2020, Electrovaya issued a press release concerning its business highlights and financial results for the three and 12-month period ended September 30, 2020. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements, management discussion and analysis and annual information form, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to normal provisions relating to forward-looking information. We provide information relating to our current views regarding trends in our markets, including their size and potential for growth, our competitive position in our target markets. Although, we believe that the expectations reflected in such forward-looking statements are reasonable, such statements, involve risks and uncertainties and actual results may differ from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions apply to making forward-looking statements may be found in the Company's press release announcing the fiscal 2022 second quarter results and the most recent annual information form and management discussion and analysis under risks and uncertainties, as well as in other public disclosure documents filed with Canadian Securities Regulatory Authorities. Also, please note that all numbers discussed on this call are in U.S. dollars unless otherwise noted. Also note that we use the term EBITDA. EBITDA does not have a standardized meeting under IFRS. Therefore, it is unlikely to be comparable to similar measures presented by other users. We believe that certain investors and analysts use EBITDA to measure performance of the business. EBITDA is defined as loss from operations plus finance costs plus stock-based compensation and deprecation. And now, I'd like to turn the call over to Sankar.
Dr. Sankar Das Gupta: Thank you, Richard, and good morning everyone. This year, fiscal 2020 has been a transformative year for Electrovaya. Electrovaya ended the fiscal year with total revenue of CAD14.5 million or CAD19 million in Canadian dollars tripling our revenue year-over-year. Our revenue for the quarter ended 30th September 2020 was $6.9 million or CAD9.1 million. The highest quarterly revenue in our recent history and an excellent 44% sequential growth over the proceeding third quarter ending 30th June 2020, which itself was 146% sequential increase in revenue growth from Q2 the March quarter in this fiscal year. Our EBITDA in Q4 is again positive. It grew by 60% to 800,000 or over CAD1 million following a positive EBITDA of $0.5 million in Q3. An important milestone in September 2020 was the final settlement of our $15 million of convertible debt, which we repaid. Richard will discuss the financial results in more details. We are now powering electric trucks in about 40 locations mainly in the USA and two large companies. We are marketing through two channels through our OEM partner's distribution as well as direct sales. How big is our addressable market in lift trucks? We understand that there are over 2 million lift trucks operating in North America, moving goods inside warehouses and factories, providing essential service in transporting groceries, vital to e-commerce, and many other applications. If the addressable market for intensive use lift trucks is for example 25% of the total, that would be about half a million lift trucks; and if we take each battery to have an average price of 200,000, then the addressable market for batteries is in the order of magnitude of 10 billion in North America alone, a large potential market. During COVID, Electrovaya is an essential company and our very dedicated and courageous team comes to the factory every day, carrying out vital production, operations, engineering, research, and admin tasks. We all admire our team's courage and dedication and their attention to detail in complying to the COVID-19 guidelines. They are keeping the groceries and many vital goods moving in warehouses, cold storages and in e-commerce distribution. Our OEM sales partner is possibly one of the world's largest companies and has access to all technology across the world. And we are humbled that they chose Electravaya, and now quite quickly, we are powering electric lift trucks and forklifts in 40 locations. Most of our clients have multiple location, tens or hundreds of them. Hence, being able to seed our technology in these 40 locations has been important. We are now seeing repeat orders from a number of our Fortune 500 customers. We believe we must be providing exceptional technology in terms of battery longevity, safety, energy, power, and fast charging. The market -- this market for heavy users needed a remarkable battery, which we are delivering. Similar performances are needed for intensive use applications such as electric buses, electric trucks, and electric taxies. All intensive users need a superior battery. Our lift truck battery in many locations are operating 24 hours a day seven days a week. I'm now going to hand the call over to Raj Dasgupta our VP of Technology and Business Development to comment on research and development efforts in addition to our sales and marketing activities. Raj?
Raj Dasgupta: Thank you, Sankar. Fiscal year 2020 was a year of significant advances for Electravaya with respect to R&D. Earlier in the year, we acquired 30 patents on ceramic composite separators and lithium-ion batteries. We continue filing patents for new inventions in electrodes cells and systems, and we believe we have a substantial intellectual property in this lithium-ion battery sector in general. We have been adding research and engineering staff throughout the year including those with PhDs and other advanced degrees with a general push to increase our R&D activities. Recently, we announced our UL2580 listing, the UL certification was a major milestone as it not only underscored the significant advantage we have with respect to NMC, lithium-ion battery technology, but also overall systems design including the battery management system and the electromechanical design of our battery systems. As of the -- as part of the UL certification, there was extensive destructive testing including testing of our batteries' resistance to fire propagation where we particularly excel. Furthermore, our proprietary subcomponents including our cell and our battery management system also now meet UL recognition for UL 2580, UL991, and UL1998 respectively. We believe that the large investment for these certifications will attract further growth for our battery systems sales while also providing the market a clear indication for Electrovaya’s technology strengths. Safety is becoming a more topical subject of late as two major automakers recently announced over 120,000 vehicle recalls due to battery safety incidents. Fiscal year 2020 also represented some significant advances for Electrovaya with respect to our development of our next generation of high voltage battery systems, which are targeted at the electric bus and electric truck market, and has been supported by Sustainable Development Technology Canada. Due to our inherent advantages with respect to energy density cycle life and safety, we are well positioned to take a leadership position in this nascent, but high profile market. These commercial markets share much in common with the material handling market where total cost of ownership is at the heart of procurement decisions. This is where Electrovaya excels providing the customers with the lowest overall cost of ownership. These sophisticated buyers are interested in the long-term savings that Electrovaya solutions provide. We expect to launch our electric bus and electric truck systems in fiscal year 2021. With regards to our sales and marketing activities, we had some significant challenges due to COVID-19; however, despite restrictions to our ability to attend trade shows and travel in general, we continued to see new projects through our close OEM distribution relationship as well as directly to our existing and prospective customers. We expect both our OEM sales channel and direct sales channel to expand in fiscal year 2021. Currently, we are in the midst of adding new sales staff to our team in the United States and Canada, as we plan to capitalize on the leadership position we have in the material handling market today. I will now turn the call over to Richard to review our fiscal fourth quarter and full-year results in general detail. Rich?
Richard Halka: Thank you, Raj. It's been a very eventful quarter. We've taken significant steps to improve the Company's liquidity and financial performance. For example, we negotiated the settlement of the CAD15 million convertible debentures resulting in a gain on settlement of $5.2 million or in CAD6.8 million. The settlement converts a conserved cash of approximately $7.9 million or $10 million. We amended the working capital facility, increased the facility limit extended the maturity date, and also raise new funds under a promissory note. We are pleased with the continued support we received from our lender, a Canadian financial institution. This highlights the strength of Electrovaya’s products and customer base. We generated strong revenue growth, continuing our trend through 2020 of double to triple quarterly sequential growth. Revenue for Q4 fiscal 2020 was $6.9 million, CAD9.1 million compared to 0.5 or 700,000 in the fiscal fourth quarter September 20, 2019. Revenue for Q4 2020 increased by 44% on a sequential basis compared to $4.8 million or CAD6.3 million in the fiscal third quarter, ending June 30, 2020. The strong sequential growth reflects robust customer demand and scaling up of production. Revenue for the full fiscal year was $14.5 million or CAD19 million, nearly three-fold increase from the revenue of $4.9 million or CAD6.4 million for the 12 months ended September 30, 2019. The Company generated a positive EBITDA of 800,000 and CAD1.1 million for Q4 fiscal year 2020 compared to negative 900,000 or CAD1.2 million in the fourth quarter of fiscal 2019. EBITDA for Q4 fiscal year 2020 increased 68% on a sequential basis compared to 500,000 or CAD700,000. In Q3 2020, net profit was $1.1 million, CAD1.4 million for fiscal year 2020 compared to a net loss of $2.8 million in CAD3.7 million for fiscal 2019. In summary, we strengthened our balance sheet, improved our liquidity, grew our revenue, maintained our margins and control our costs. I'd like to pass the call now back to Sankar. Thank you.
Dr. Sankar Das Gupta: Thanks Richard. So in conclusion, fiscal year 2020 has been transformative for Electrovaya. Summarizing, Electrovaya has been opened and operating during all of this difficult COVID-19 period and thanks to our dedicated staff. Our customers are in e-commerce, warehousing and distribution. Their demand for high performance lithium-ion batteries is increasing. It is an mission critical obligation for them. We have grown quickly to 40 locations, mostly in the USA and some in Canada. We are seeing repeat sales. We're marketing to two channels, the OEM channel and direct sales channel. Our distribution agreement in mid 2019 was with the Raymond Corporation. Raymond is a 100% subsidiary of Toyota and the electric brand for the lift trucks. It is the largest OEM I believe in this field and has significantly increased the distribution and reach of Electrovaya’s products. Our addressable market in this sector is large, several billions. We are also selling through direct channel to many customers. We are compatible with most trucks. We received that UL2580 listing and believe we are the only lithium-ion high energy density NMC chemistry in the lift truck industry with this listing, an important safety milestone. We are in exponential growth phase as Richard mentioned. Sequentially, we have increased revenue by 44% over Q3. Our positive EBITDA increased by nearly 70% in Q4 over Q3. We keep increasing in an appropriate manner, our research and engineering and operation stuff. Our debt has been significantly reduced in fiscal 2020 and the balance sheet improved. We are repaid two term loans equaling $10 million as well as repaid the $15 million convertible debt, a total of CAD25 million repaid this year, while we have added debt of about $7 million, as promissory notes, and overall reduction in term debt of over 70%. Our operating working capital revolver has increased from $1.5 million to CAD7 million, allowing us to meet increasing product demand. Our exceptional technology of long cycle life or longevity, safety, energy and power is applicable to many other mission critical applications such as automated-guided vehicles, electric buses, electric trucks, and electric cars especially the hardworking electric taxis. We have delivered over 1,000 batteries for about over 1,000 ATVs, mostly being used in the Northeast at places like Boston and Washington DC. We'll be launching, as Raj mentioned, our high voltage battery suitable for electric buses and commercial trucks in this fiscal year 2021. We have a substantial intellectual property recently acquiring 30 new patents and continuing filing for new patents. We believe we are well positioned in this lift truck market and perhaps a leadership position. In the sustainability and climate change mitigation area, I'm really pleased that each hardworking electric lift truck, which operates seven days a week and sometimes 24 hours a day eliminates 12 times to 16 times more greenhouse gases than an electric car. As an example, 100,000 lift trucks is equivalent to 1.5 million or so electric trucks in reducing greenhouse gases like carbon dioxide and carbon monoxide. These electric lift trucks should be a priority application for climate change mitigation. This has been a transformative year for the Company record revenues, improved balance sheets, and two sequential quarters of positive EBITDA. I believe the future is very bright for Electrovaya. That is why I keep making personal financial guarantees as needed in order to satisfy the Company's obligations under the convertible debentures or promissory notes. I'm confident our strategy will deliver significant value to our shareholders. This concludes our remarks this morning. Richard, Raj, and I would now be pleased to hold a question-and-answer session. Darrow, please open the line for questions.
Operator: Thank you. We will now be conducting the question-and-answer session. [Operator Instruction] Our first question has come from the line of Devin Schilling with PI Financial. Please proceed with your questions.
Devin Schilling: Hi guys. Good morning and congrats on the strong quarters here. I would just like to touch base on your FY '21 revenue guidance here over $28 million. What do you believe the split will be between direct tail and customers and OEM distributors?
Dr. Sankar Das Gupta: I really wouldn't like to go there. I think that what we've seen in the past year is probably about a 50:50 split. I would suggest that we would expect the OEM relationship to strengthen and probably get more through that channel. But at the same time, we have a very robust, direct sales channel. So, I wouldn't really want to speculate as the breakdown between the customer components there.
Richard Halka: Yes, I think both of those sides to increase. We're adding sales staff for the direct sales portion as well.
Devin Schilling: You guys also mentioned, you guys are expecting a decent amount of repeat orders here, I guess, in this guidance, should we also be expecting some new potential customer wins?
Dr. Sankar Das Gupta: Yes, I would most definitely think so. Yes, we're certainly getting a profile in the marketplace, which as we move forward will only increase the momentum and occur certainly our existing customer base is very robust and continuing to place orders, but Raj is probably best to speak on.
Raj Dasgupta: Most definitely, we'll be feeding some new customers, which we already have been. So, the revenue would be coming from a mix of both new customers as well as existing ones.
Devin Schilling: And I believe you guys mentioned that you're looking to add some new sales staff in both Canada and the U.S. Can you maybe touch base on just how many you have right now and how many additions are planned?
Dr. Sankar Das Gupta: Sanker here. We have a tremendous reach with our OEM, and we also -- our sales staff works very, very closely with the OEM sales. So, sometimes, we have an effect as against one sales person going in. It's almost like a team sales going on and the OEM sometimes moves away when he sees that it's an upgrade happening. And so, I won't quantify the numbers, it's really a team effort.
Operator: [Operator Instructions] There are no further questions at this time. I’d like to hand the call back over to management for any closing remarks.
Dr. Sankar Das Gupta: Thanks Gerald. That concludes our call, thank you for listening this morning. We look forward to speaking with you again after we report our fiscal first quarter 2021 results. In the meantime, we wish you all good health and stay safe. Thanks.
Operator: Thank you. This does conclude this morning’s call. Thank you for your participation. You may disconnect your line at this time.